Operator: Good morning. Welcome to the CEMEX First Quarter 2017 Conference Call and Webcast. My name is Richard, and I'll be your operator for today. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Our hosts for today are Fernando González, Chief Executive Officer; and Maher Al-Haffar, Executive Vice President of Investor Relations, Communications and Public Affairs. And now, I will turn the conference over to your host, Fernando González. Please proceed.
Fernando Angel González Olivieri - CEMEX SAB de CV: Thank you, Richard, and good day to everyone. Thank you for joining us for our first quarter 2017 conference call and webcast. We will be happy to take your questions after our initial remarks. 2017 is off to a good start. We continue to be optimistic about the outlook for the full-year, as evidenced by positive GDP expectations and increasing cost structure in GDP, rising consumer confidence and a pickup in public spending as fiscal stimulus programs are put in place in several of our geographies. Positive cement volume expectations for 11 out of our 13 main markets, coupled with the continued favorable results of our value-before-volume strategy, should translate into increased operating EBITDA generation for the full year. Regarding our first quarter results, sequential and year-over-year pricing for our three core products increased in the low to mid-single digits. Our consolidated ready-mix and aggregate volumes increased in the mid-single digits, while our cement volumes remained flat. Favorable cement volume dynamics in Mexico, and our Europe and South, Central America and Caribbean regions, were offset by a decline in our Asia, Middle East and Africa region, reflecting adverse weather conditions in the Philippines and a decline in volumes in Egypt. As a result of our favorable volume and price performance, sales increased by 6%, while operating EBITDA grew by 2% on a like-to-like basis. EBITDA margin declined by 0.5 percentage points, reflecting, in part, an increase in raw materials in some of our ready-mix operations, as well as higher energy and freight costs. Our free cash flow after maintenance CapEx was negative during the first quarter, mainly reflecting the seasonality in our working capital needs. However, we saw an important improvement in average working capital days reaching negative one day compared with 10 days in the same period last year. As in previous years, we expect most of the investment in working capital to be reversed during the second half of the year to reach our guidance of a total investment of $50 million in working capital during the full year 2017. As we mentioned in our CEMEX Day, we expect to reach negative four average working capital days during the year. In addition, this was the 6th consecutive quarter with positive net income reaching $336 million. In line with our communicated targets, we apply the proceeds from our divestments to reduce debt and to meet the free cash flow deficit during the quarter. In addition, we acquired shares of Trinidad Cement Limited, and we began consolidating this operation starting in February. Our debt balance as of the end of the quarter reflects $145 million in debt from TCL. As a result, we reduced our total debt by $470 million during the quarter. This debt level is more than $2.7 billion lower than that at the end of 2015, representing a reduction of close to 18% during the period. We have about $230 million of announced asset sales pending to close. This free cash flow generation during the rest of the year will help us continue to de-lever, reach our debt reduction target from this year, and bring us closer to an investment grade capital structure. Now, I would like to discuss the most important developments in our markets. In Mexico, we have favorable volume and price dynamics during the quarter in our three core products. Daily sales volumes for domestic gray cement, ready-mix, and aggregates increased by 7%, 4%, and 1%, respectively, during the quarter. Prices for our three core products increased in the double-digits on year-over-year basis. Sequentially, cement and aggregate prices increased by 9%, while ready-mix prices improved 5%. Our operating EBITDA margin reached 36.8% during the first quarter of 2017, an increase of 0.9 percentage points. Cement volume growth during the quarter benefited from improved demand in all of our main sectors, as well as a low base of comparison versus the same period last year. In the industrial and commercial sector, private investment projects like shopping malls, hotels, warehouses, as well as some manufacturing facilities, are being supported by consumption growth and the favorable tourism outlook. Regarding the self-construction sector, prospects remain favorable given sound demand drivers including job creation, consumer credit, and remittances. In the formal residential sector, we expect that higher value and more cement incentive home investment will continue, supported by private banks and Infonavit's lending growth. On the other hand, the lower budget for subsidies will affect the affordable housing segment. Regarding infrastructure, volumes during the quarter were supported by the participation in specific projects like the final phase of the (7:01) Highway in the state of Querétaro. However, fiscal investment budget for infrastructure this year shows a decline on a year-over-year basis. In the United States, cement volumes on a pro forma basis, including the Odessa and Fairborn cement plants, were flat on a year-over-year basis. Ready-mix and aggregate volumes on a pro forma basis, excluding the West Texas operations, fell 4% and 5%, respectively. Our year-over-year volume performance reflects a tough 2016 comparison base, which enjoyed the highest quarterly volume growth since 2013. In addition, this year's volumes were impacted by significant precipitation in our Western states during the quarter. Despite flat volumes and the divesture of two cement plants, we are reporting a 22% increase in year-over-year EBITDA for the quarter. On a like-to-like basis, the increase in EBITDA was 32%. Cement prices on a pro forma basis rose 5% on a year-over-year basis and 2% sequentially. This reflects the successful implementation of our January price increases in Florida, Colorado and the North Atlantic, which represent approximately 35% of our U.S. volumes. In addition, we implemented pricing increases in the beginning of April in the rest of our footprint comprised of California, Texas, and the South Atlantic. While it is still early in the process, we believe these increases will have traction. Fundamentals in the residential sector continue to improve in the first quarter. With housing starts increasing 8%, both single and multi-family sectors contributed to the growth in starts. Despite recent increases in interest rates, housing outlook remains favorable underpinned by wage growth, job creation, low inventories, positive consumer sentiment, and improved lending conditions. In the industrial and commercial sector, construction spending was up 8% year-to-date February, with strong cement consumption in office and lodging. On the infrastructure side, streets and highway spending was off to a slow start this year, with spending down 9% year-to-date February. The weakness is attributable to the benign winter weather of last year when infrastructure projects were brought forward into the first quarter, as well as to reduced state and local highway expenditures. The recent (10:07) of the California transportation bill in April is an important milestone both in the recovery of infrastructure spending in a key market, as well as a change in political sentiments surrounding highway spending. During the quarter, pro forma EBITDA margin expanded by 3.1 percentage points year-over-year, reaching 14.1%, the highest first quarter result since 2007. The margin improvement related primarily to pricing gains and lower maintenance cost in the period. We enjoy a favorable pro forma operational leverage year-over-year with incremental EBITDA outstripping incremental sales. We continue to see a steady recovery in the U.S. business with good supply-demand dynamics. Healthy consumer and business confidence, rising income, low unemployment, and renew investment in energy infrastructure will benefit from the FAST Act, as well as infrastructure initiatives in certain of our key markets. We remain confident in our guidance of 1% to 2% growth in volumes for our three core products. In our South, Central America, and the Caribbean region, cement volumes on a like-to-like basis, including TCL, increased by 2% during the quarter, while ready-mix volumes remained flat during the quarter. Cement volumes improved in most countries with the exception of Colombia, TCL, and Puerto Rico. Operating EBITDA for the region decreased by 15% on a like-to-like basis, with a margin decline of 4.5 percentage points. I will give a general overview of the region. For additional information, you can also see CLH's quarterly results, which were also reported today. In Colombia, the decline in cement consumption during the quarter reflects in part the impact of the recently approved tax reform on available income and housing demand. This, together with difficult competitive dynamics, led to a sequential decline in cement prices. In this environment, we managed to maintain our market presence practically unchanged on a year-over-year and on a sequential basis. For the remainder of the year, we expect infrastructure activity to be the main driver of demand from our products. Higher expected execution of public works from local mayors and governors, as well as the initiation of 4G projects, should leads this growth. In the residential sector, despite the impact of the tax reform on first quarter activity, especially in the high income segment, indicators for low and middle income housing started to show early signs of potential recovery, mostly as a consequence of government subsidies. Cement volumes in our Colombian operations are expected to be flat during 2017. In Panama, our cement volumes, adjusting for the Canal project, increased by 13% during the quarter, reflecting a pickup in activity across all sectors, as well as a favorable comparison base, with a low level of construction activity during the first quarter of last year. Cement prices remained flat in this period, both sequentially and on a year-over-year basis. Regarding the residential sector, the government continues with its effort to reduce the housing deficit in the country. Increased activity is expected in the low and middle income housing segments. We have seen increased activity in the infrastructure sector from different projects, including the second line of the Panama City subway, the urban renovation of the city of Colón, as well as energy and road projects. Now, regarding Trinidad Cement Limited, we started consolidating the operations of this company in February. TCL is one of the leading producer and distributor of cement and ready-mix products in the Caribbean, with operations in Trinidad, Barbados, Juliana (14:31) and Jamaica. TCL generated $70 million in EBITDA during 2016. In our TCL operations, domestic gray cement volumes declined by 6% during the first quarter on a like-to-like basis. This decline reflects a generous slowdown in the construction sector in Trinidad, resulting from lower oil revenues in the country. In the case of Jamaica, we saw growth in cement volumes, reflecting increase in tourism and infrastructure activity. In Barbados, cement volumes were driven by the residential and commercial sectors. We currently expect that the operating EBITDA generated by the TCL Group during 2017 could be similar or slightly higher than that in 2016. In our Europe region, our domestic gray cement, ready-mix, and aggregate volumes increased 6%, 13%, and 11%, respectively, during the first quarter of 2017. Quarterly regional cement, ready-mix, and aggregate prices are up by 1%, 4%, and 6%, respectively, on a sequential basis. Regional operating EBITDA margin for the first quarter of 2017 declined by 2.5 percentage points. In the United Kingdom, our cement volume decline reflects a high base of comparison due to non-recurring industry sales of special products in the same period last year. Our cement prices increased on a year-over-year and sequential basis by 4% and 2%, respectively, during the quarter. Although there was no visible impact from the £23 billion National Productivity and Investment Fund during the first months of the year, the infrastructure and residential sectors are expected to benefit from fund investments in coming quarters. In Spain, daily sales volumes for domestic gray cement and aggregates increased by 14% and 32%, respectively, while ready-mix volumes declined by 4% during the quarter. Cement volume growth reflects continued strong activity in the residential sector, and a reactivation in the industrial and commercial sector. For the rest of this year, the residential sector should remain supported by favorable credit conditions and income perspectives, job creation, pent-up housing demand, improved housing permits and home prices, while the industrial and commercial sectors should continue to benefit from the improved political conditions. In Germany, our daily volumes for cement, ready-mix, and aggregates increased by 6%, 9%, and 4%, respectively. Volume growth for our core products was due in part to the participation in relevant infrastructure projects like the A100 Motorway in Berlin and the Bremerhaven Port Tunnel. In the residential sector, immigration and continued favorable conditions, such as low mortgage interest rates, low unemployment, and rising purchasing power, should continue driving this sector and offset limited capacity of local construction industry and public authority's restrictions. Regarding infrastructure, the federal parliament recently approved a €270 billion infrastructure plan for 2030. About half of the funds will be dedicated to roads and highways, 40% to railways, and the rest to navigation channels and river projects. In Poland, daily sales volumes for domestic gray cement, ready-mix, and aggregates increased by 5%, 25%, and 74%, respectively, during the first quarter versus the comparable period in 2016. Our cement prices increased on a year-over-year basis by 2%. Additionally, we implemented price increases in our three core products effective April 1. Volumes during the quarter benefited from the acceleration of delayed infrastructure (18:59) projects like the Expressway S7 and the Turow power plant, as well as favorable weather conditions. In addition, ready-mix volumes reflect two new plants which started operations in the second quarter of last year, while aggregate volumes increased trading activity. In France, daily ready-mix and aggregate sales volumes increased by 11% and 16%, respectively, during the first quarter and on a year-over-year basis. For the rest of the year, we expect the residential sector to be the main driver of demand for our products, supported by the increase in construction premise and governments initiatives, which include buy-to-let programs and new zero rate loans for the first time buyers. In the infrastructure sector, works related to the Grand Prix project and the new motorway investment plan should support volume growth. In our Asia, Middle East and Africa region, domestic cement volumes decreased 19%, driven by declines in Egypt and the Philippines, while ready-mix volumes increased 5%, reflecting a positive performance from our operations in Israel. Operating EBITDA margin for the quarter decreased 5.8 percentage points to 19.6%, reflecting margin declines in Egypt and the Philippines. In the Philippines, cement volumes declined by 9% during the quarter. Adverse weather conditions, especially during January and February, resulted in 24 additional downtime days in which we were unable to operate at ports. In addition, the first quarter of 2016 reflected increased construction activity prior to the presidential elections. This was our highest first quarter ever in terms of cement volumes in the country, and translated into a very high base of year-over-year comparison. On a sequential basis, cement prices declined by 2%. We estimate our market position remained unchanged versus that in the fourth quarter of last year. However, cement volumes during the quarter on a sequential basis increased by 4%, and cement volumes during March were the highest in the last 17 months. For additional information on our Philippines operations, you can also see CHP's quarterly results, which will be available late tonight, Friday morning in Asia. In Egypt, our cement volumes declined by 32% during the first quarter. This decline reflects a high base of comparison with the same period last year, reduced consumer purchasing power due to high inflation, government efforts to curb inflation like the 20% deposit interest rate, as well as difficult competitive dynamics. During the quarter, our cement prices increased 16% on a year-over-year basis. For the rest of the year, we expect that the recently implemented macroeconomic reforms on IMF financing should improve government ability to execute projects. The residential sector should be supported by government's housing activity, while the infrastructure sector should benefit from projects related to the Suez Canal tunnels, the new port in the city of Port Said, and the new administrative capital. In Israel, ready-mix and aggregate volumes increased 10% and 13%, respectively, during the quarter. Solid economic growth and low unemployment is supporting the residential sector, which was the main driver of demand. Israel represents approximately 30% of EBITDA generation of the EMEA region during the first quarter. In summary, we have strong fundamentals in most of our operations, which translated into positive volume and pricing dynamics. We are particularly pleased with our results in Mexico, the U.S. and most countries in Europe, which led to an increase in sales and EBITDA during the first quarter of 2017. And now, I will turn the call over Maher to discuss our financials.
Maher Al-Haffar - CEMEX SAB de CV: Thank you, Fernando. Hello, everyone. It is important to note that in our first quarter report, the results of our concrete pipe business in the U.S., as well as our operations in Croatia, Austria, Hungary, Bangladesh, Thailand and Malaysia, have been reclassified as per IFRS accounting standards, and are reflected in a discontinued operations line item in our financial statements. In the case of Croatia, its results will be reclassified from the discontinued operations line to other lines in the net income statement as an ongoing operation starting in the second quarter of 2017. Our net sales and operating EBITDA on a like-to-like basis increased by 6% and 2%, respectively, during the quarter. There was higher like-to-like EBITDA contribution from Mexico and the U.S. Our operating EBITDA margin declined by 0.5 percentage points. On a year-over-year basis, we continued to see the effect of the appreciation of the U.S. dollar versus some currencies in our markets, although the impact was lower than the same period last year. The FX impact on our EBITDA, including the effect of dollarized cost during the quarter, was $43 million compared with $67 million in the first quarter of 2016. During the quarter, we saw a slightly positive FX effect on our Colombian business. Cost of sales as a percentage of sales increased by 0.3 percentage points during the quarter, mainly due to higher energy costs. Operating expenses as a percentage of sales declined by 0.2 percentage points, mainly driven by our cost reduction initiatives. Our kiln fuel and electricity bill on a per ton of cement produced basis increased by 4% during the first quarter. Our quarterly free cash flow after maintenance CapEx was negative $153 million compared with $8.5 million last year, mainly explained by higher investment in working capital during the quarter. During the quarter, we had, on average, minus one working capital days compared with 10 days in the first quarter of 2016, reflecting improvements in customer and supplier terms. We expect to recover most of the investment in working capital during the second half of the year to reach our full-year guidance. As we mentioned during our CEMEX Day last month, we initiated the implementation of a U.S. dollar, Mexican peso hedging program with an expected notional amount of up to $1.25 billion. As of today, we have a notional amount balance of approximately half of the program. For accounting purposes under IFRS, changes in fair market value of these instruments will not impact our net income statement. Regarding other items in the first quarter income statement, the other income net line was $140 million, and mainly includes the gain in the sale of the Fairborn plant in the U.S. We had a gain on financial instruments of $98 million related mainly to the gain in sale of a 13.5% stake in Grupo Cementos de Chihuahua. Foreign exchange results for the quarter resulted in a loss of $66 million mainly due to the fluctuation of the Mexican peso versus the U.S. dollar. The discontinued operations line in the income statement reflects the effect of the different discontinued operations plus the gain in the sale of the concrete pipe business in the U.S. During the quarter, we had a controlling interest net income of $336 million, reflecting mainly the gain in sales of assets. We continued with our initiatives to improve our debt maturity profile and strength in our capital structure. During the quarter, as part of the cash tender offer, we repurchased $385 million of our 7.25% senior secured notes due in 2021, and $90 million of our 6.5% senior secured notes due in 2019. We also repaid $564 million of the revolving facility under our credit agreement. In relation to the acquisition of Trinidad Cement, we consolidated approximately $145 million of debt from this entity. This debt is denominated in both U.S. and Trinidad and Tobago dollars that had maturities up to the year 2020. During the first quarter, total debt plus perpetual securities decreased by $470 million. This includes a non-cash negative conversion effect of $46 million. Proceeds from our asset divestments during the quarter were used to meet the negative free cash flow during the quarter to acquire the TCL shares and for other expenses, including financial fees. In addition, debt variations during the quarter reflects the consolidation of TCL's debt, a seasonal decline in our securitization program, as well as a conversion of some of our operating leases into capital leases. Our leverage ratio as of the first quarter reached 4.07 times from 4.22 times as of the end of 2016. The average life of our debt is currently 5.2 years. As we have done in the past, we will be proactive in taking market opportunities to manage our maturities and reduce financial expenses, ensuring that our debt profile continues to be manageable. In addition, the revolving tranche under our credit agreement provides us with greater flexibility to optimize the use of proceeds from our asset sales, effort and free cash flow generation until we can efficiently prepay outstanding notes. Now, Fernando will discuss our outlook for this year. Fernando?
Fernando Angel González Olivieri - CEMEX SAB de CV: For 2017, we are constructive on our volume outlook for our biggest markets, leading us to expect consolidated cement and ready-mix volumes to grow in the 1% to 3% range, while aggregate volumes should be from flat to up to 3% compared with last year levels. Regarding our cost of energy on a per ton of cement produced basis, we expect a 5% increase from last year's levels. Guidance for total CapEx for 2017 remains unchanged at about $730 million. This includes $520 million in maintenance CapEx and $210 million in strategic CapEx. Our guidance for financial expenses, investment in working capital and cash taxes remains unchanged from the one provided last year. As regards one of our most important priorities, which is regaining our investment grade, we continue to make important progress during the quarter. On our 2016-2017 divestment target of $2.5 billion, we have already announced asset sales for close to $2.4 billion, out of which about $230 million related to the sales of U.S. Pacific Northwest operations and the concrete pumping business in Mexico, are still pending to be collected. These asset sales have been done on average multiples in the double digits. Regarding our debt, we continue expect to comfortably achieve our 2016-2017 debt reduction target. Since the beginning of 2016, we have reduced our total debt in excess of $2.7 billion. Debt reduction for the rest of 2017 should come from free cash flow generation, as well as proceeds of pending to close asset divestments. We will continue with our efforts to reach an investment grade capital structure as soon as possible. In closing, I would like to reiterate what I said at the beginning of the call. We are optimistic about the outlook for the full-year with positive cement volume expectations in most of our main markets, which, coupled with sustained favorable results of our value-before-volume strategy, should translate into increased operating EBITDA generation for the full year. Thank you for your attention.
Maher Al-Haffar - CEMEX SAB de CV: Before we go into our Q&A session, I would like to remind you that any forward-looking statements we make today are based on our current knowledge of the markets in which we operate, and could change in the future due to a variety of factors beyond our control. In addition, unless the context indicates otherwise, all references to pricing initiatives, pricing increases or decreases, refer to our prices for our products. And now, we will be happy to take your questions. Operator?
Operator: Our first question on line comes from Adrian Huerta from JPMorgan. Please go ahead.
Adrian E. Huerta - JPMorgan Casa de Bolsa SA de CV: Hi. Thank you, Fernando and Maher, and congrats on the results.
Fernando Angel González Olivieri - CEMEX SAB de CV: Thank you.
Maher Al-Haffar - CEMEX SAB de CV: Thank you.
Adrian E. Huerta - JPMorgan Casa de Bolsa SA de CV: I have two questions. The first one in Mexico, I was quite surprised by the strong price increase quarter-over-quarter that we saw of 9%. So, what was the March over December increase that you had? And then the other question is, this is the first time we see the average increase closer to the announced price increase. And why was it? Have you made any changes to the ways you implement price increases in Mexico? And the other question I had was on TCL. Basically, if you have seen any opportunities and potential synergies after you have already incorporated its operations regarding margins going forward. Thanks.
Fernando Angel González Olivieri - CEMEX SAB de CV: So, regarding the pricing in Mexico, Adrian, we're very happy with the traction of the announced price increase. I think the market conditions and the process that we have been perfecting on our value-before-volumes strategy are the ones to explain why is it that the traction was, let's say, high compared to traditional increases in the past. I'm not sure that – if part of your question was, how much was the announcement or how much was the increase from December to March. What was the question?
Adrian E. Huerta - JPMorgan Casa de Bolsa SA de CV: Yes. What was the increase from March to December, not the average increase. Just point to point.
Fernando Angel González Olivieri - CEMEX SAB de CV: Yeah, that was 9%.
Adrian E. Huerta - JPMorgan Casa de Bolsa SA de CV: Also 9%? Okay.
Fernando Angel González Olivieri - CEMEX SAB de CV: 9%, yes. And on TCL, as you can imagine, we're just going through the post merger integration process. So we still don't finish evaluating potential synergies. But as you heard, we said, despite of a first quarter 6% drop in volumes, we do expect to generate same EBITDA than last year or slightly higher. Once we have all the information coming from the post merger integration, we might fine tune our outlook for TCL for the rest of the year.
Adrian E. Huerta - JPMorgan Casa de Bolsa SA de CV: Perfect. Thank you, Fernando, and congrats again.
Fernando Angel González Olivieri - CEMEX SAB de CV: Thank you, Adrian.
Maher Al-Haffar - CEMEX SAB de CV: Thank you, Adrian.
Operator: Thank you. Our next question on line comes from Vanessa Quiroga from Credit Suisse. Please go ahead.
Vanessa Quiroga - Credit Suisse: Hi. Thank you, good morning. Thanks for the call. I just have a couple of questions, the first one is about the margins in Europe. Could you provide us more color on what led to the weakness in margins year-over-year, and whether you expect this trend to continue during the rest of the quarter? And the other question that I have is regarding the U.S. margins. They were stronger than we expected, and if I'm not mistaken, I see that the increase in dollar amount in terms of EBITDA was actually higher than the increase in dollar amount in revenue in a pro forma basis. Can you confirm whether I am looking at the correct numbers, and whether that is sustainable? Thank you.
Fernando Angel González Olivieri - CEMEX SAB de CV: Yes, starting with your first question, Vanessa, margins in Europe. Even though, as you saw, there were positive news on our volume and price side because of better weather conditions and better conditions in the market theirselves, we did have several events that impacted our cost side. Some of them are a kind of a one-time effect, meaning they shouldn't continue repeating, some others might last during the year. Then we mentioned the most important ones, starting with the UK. In the case of the UK, we made maintenance to our Rugby and South Ferriby plant. And that maintenance, the total cost related to that maintenance was about $16 million. And when you compare that to first quarter last year, those maintenance were not done during the quarter. Even – just as a clarification, in the case of the Rugby plant, which was around $12 million, we didn't spend maintenance expenses in 2016, because the kiln was able to operate around 18 months. So in this case, unless there are savings in maintenance expenses in other plants, this $12 million during 2017 is going to affect when compared to 2016, because that maintenance wasn't done in 2015. The other issue affecting is reduction in exports in Spain. And that accounts for around another $12 million. In this case, we are not sure, I cannot say that we won't be able to increase exports again. But for the first quarter, that was the impact. So that's more or less what explains margins in Europe. And in the case of the U.S., most of it is explained, no. On top of a successful pricing and – but most of the explanation is maintenance. There was a reduction of maintenance in the U.S., still to be seen if we can continue with a lower maintenance expense compared to last year, but it was true. It did happen in the first quarter. And on top of that, we still have a very high operational leverage. I think the first quarter operational leverage was slightly more than 150%. So that also did support the high increase of our margins in the U.S.
Maher Al-Haffar - CEMEX SAB de CV: And of course, Vanessa, I mean, if I can add to what Fernando is saying, is that pricing also was obviously a big factor. And now, I didn't get the second part of your question, whether – I mean, one thing to mention is that the first quarter of last year, of 2016, was actually one of the best quarters we've had, I think, since 2007. And so despite that, I think we're doing quite well. Now whether that's sustainable or not clearly remains to be seen. But we're quite optimistic about the pricing increases and of course – for the rest of the year, because of weather conditions and because of tightening supply-demand dynamics. And we do expect demand to be better as we go through the rest of the year than it was in the first quarter. Does that answer your question, Vanessa, or...
Vanessa Quiroga - Credit Suisse: (41:09) Maher.
Maher Al-Haffar - CEMEX SAB de CV: Yeah, thank you.
Vanessa Quiroga - Credit Suisse: Yes, yes. Thank you. And actually, I have a follow-up on Adrian's question about the Mexico pricing. So far in the second quarter, have you seen additional price increases in Mexico? Thanks.
Fernando Angel González Olivieri - CEMEX SAB de CV: No. I mean there are always movements, but nothing in particular to comment.
Vanessa Quiroga - Credit Suisse: That's great. Thank you.
Fernando Angel González Olivieri - CEMEX SAB de CV: Thank you very much, Vanessa.
Maher Al-Haffar - CEMEX SAB de CV: Thank you very much, Vanessa. Yeah. Thank you. Operator?
Operator: Thank you. Our next question on line comes from Carlos Peyrelongue from Bank of America, Mexico. Please go ahead.
Carlos Peyrelongue - Bank of America Merrill Lynch: Thank you. Thank you, Fernando and Maher, for the call. Two questions, if I may, first one is related to the income statement. Other expenses had a major shift from a minus $14 million to a positive $140 million. If you could comment what explains that big shift, please? And the second, can you tell us what price increases have been announced and in which states in the U.S. so far, that I believe should be implemented in April? Can you also comment on the timing? Thank you.
Maher Al-Haffar - CEMEX SAB de CV: Yeah. Carlos, the first item, I think we mentioned it in our initial remarks, the gain in other expenses, the big item in the move is really the gain that we had on the sale of our Fairborn plant, which was about $190 million. And then in terms of – does that answer the first question, Carlos?
Carlos Peyrelongue - Bank of America Merrill Lynch: Yeah.
Maher Al-Haffar - CEMEX SAB de CV: Okay.
Carlos Peyrelongue - Bank of America Merrill Lynch: Yes, it does.
Maher Al-Haffar - CEMEX SAB de CV: Right. Now, just to kind of recap, in January, we – well, last year, we announced pricing increases affecting roughly 35% of our volumes starting in January. And the pricing announcements were in the high teens, and they affected the Florida, North Atlantic and Colorado regions. And those pricing increases were absorbed quite nicely, and you've seen a combination of the tailwind from last year's pricing increases plus the pricing increases that took place as of January. Now, as of April, the pricing increases, again, that were announced last year, are going to impact the balance of our volumes, which is the 65% of our volumes. And those will – in terms of the pricing levels, you have high-teen increases were announced in California and South Atlantic, and you have high single-digit increases announced in East Texas. And frankly, especially in – I mean, remember, the first part of the year, California and Texas, particularly Houston, had very bad weather. I mean we had, I think, in California, 60% more bad weather than last year. And in East Texas, I think we had something like 70%. Houston, in particular, we had more than 70% wet days. And so, the situation now is improving quite a bit, and there's a lot of leading indicators in both markets that things are likely to get better. So we're quite optimistic and constructive about the pricing increases that are going into effect as of April.
Carlos Peyrelongue - Bank of America Merrill Lynch: Okay, great. Thank you.
Maher Al-Haffar - CEMEX SAB de CV: Thank you, Carlos.
Fernando Angel González Olivieri - CEMEX SAB de CV: Thank you, Carlos.
Operator: Thank you. Our next question on line comes from Benjamin Theurer from Barclays. Please go ahead.
Benjamin M. Theurer - Barclays Capital Casa de Bolsa SA de CV: Good morning, Fernando and Maher. (45:03)
Fernando Angel González Olivieri - CEMEX SAB de CV: We cannot hear. We cannot hear you, Benjamin.
Benjamin M. Theurer - Barclays Capital Casa de Bolsa SA de CV: Better now?
Fernando Angel González Olivieri - CEMEX SAB de CV: Much better, much better.
Benjamin M. Theurer - Barclays Capital Casa de Bolsa SA de CV: Yeah, okay. There you go, okay. So, technical issues solved. So, here we go. Two questions, if I may. One is a quick follow-up on Trinidad. Can you just give us a little bit of an idea how margins are currently at that operation just in comparison to the rest to understand a lot of that contraction, what we've been seeing in the region, in fact, was driven by TCL? Because I couldn't find that information on the Latam Holdings. That would be question number one. And question number two, you mentioned in the U.S. that the Western part was affected by severe rain, and obviously, was a lot in the news, especially California, there was a lot of rainfall. That obviously affected the construction activity. Have you seen any sort of the pickup already? Do you think that there is going to be a normalization throughout the year? And how did the adverse weather impact you on your pricing strategy? That would be great if you could comment on that one. Thank you.
Maher Al-Haffar - CEMEX SAB de CV: Yeah, Ben, if I can take the TCL question, I mean, first, it's very important for everybody to realize that TCL is not included in CLH, right? It's not part of CLH. That's number one. Number two as, again, you may be aware that TCL is a public company. They have not reported, and it's kind of difficult to comment at this point in time on that. They will be reporting fairly soon and they should make that commentary clear, but we're not in the position to do that at this point in time. In terms of the weather activity, I mean, we're certainly seeing a better situation in both California and in Texas, and particularly, the Houston market. And that's what I said, is that we expect the supply-demand dynamics to get a little bit better going into the year. And that should be very supportive of the pricing increases. And in Houston, we're seeing definitely pickup in housing. We're seeing more infrastructure starts that are taking place for the first part of the year. Just taking a look, for instance, as streets and highways in the first couple of months of the quarter starts increase by 25% as a consequence of, if you recall, the Prop 1 funds, which were approved back in 2015. So we're beginning to see that happening. And housing, frankly, I would like to say, and it applies to all of our markets, Houston and California included – or Texas and California included, housing market is looking very, very good. We're seeing kind of all-time lows of vacancies, available inventories. We're seeing rental metrics that are at all-time lows. We're seeing tightness in supply. So, I think that all of those things added together are expected to bode well for the pricing dynamics in the next three quarters. Does that answer your question, Ben?
Benjamin M. Theurer - Barclays Capital Casa de Bolsa SA de CV: Yeah, on that, that's perfect. I mean, TCL, I'm going to have to wait, I guess.
Maher Al-Haffar - CEMEX SAB de CV: Yeah, great. Thank you very much. Operator?
Operator: Thank you. Our next question on line comes from Cecilia Jimenez from Santander. Please go ahead.
Cecilia Jimenez - Casa de Bolsa Santander SA de CV: Yes. Hi, good morning, everyone. Thanks for taking my question. I actually have three, two follow-ups, and one new question. The follow-ups are in the U.S. Is the lowered maintenance mostly related to the asset sales, in which case, I could assume this is sustainable? Or is there any part of that maintenance that should be seen later this year? That's the first question. The second question is regarding Trinidad, and what are the main drivers of the recovery of Trinidad that you're expecting in order to reach out (49:30) last year? That will be the second question. And then the third one is regarding the Asia region. Could you give us a sense of what you expect is the breakdown for this year given the performance as you're looking at Egypt and considering Israel is now roughly 30% of EBITDA, as mentioned before? That will be it. Thanks.
Maher Al-Haffar - CEMEX SAB de CV: Hi. Cecilia, hi. Well, let me start with the U.S. maintenance question. I mean, we did have 17 less business – I mean, less business days – 17 less maintenance days in the quarter. Now, we – whether – certainly, we're trying throughout the company, and the other thing is that it has nothing to do with the sale of our two plants, the Odessa and Fairborn plants. I mean, the performance is on a like-to-like basis. So, that should – definitely, that impact should carry through. Now, we are, of course, trying throughout the company to reduce the maintenance days on a per annum basis, and the U.S. may be positively impacted by that. In terms of TCL, frankly, the recovery is – again, I really don't want to preempt their reporting, but there is definitely a lot of tourism that is affecting or expected to affect the business. We're expecting volumes to be impacted by residential and the commercial sector in Barbados, for instance; in Jamaica, it's primarily tourism. In Trinidad, they've been quite hit by the conditions in the oil sector, so we have to wait and see what happens there. So that's – but again, we're very limited on what we can say on TCL because of the – because they haven't reported yet. Cecilia, I think that the line broke up a little bit when you were asking the question regarding our -the Asia, Middle East, Africa questions. Could you repeat that question, please?
Cecilia Jimenez - Casa de Bolsa Santander SA de CV: Sure. The third question was (51:52) Asia region, and what would you expect to be the breakdown for 2017? I used to believe Israel is much smaller, and you mentioned previously, it represented roughly 30% of EBITDA this quarter. So what could be, I don't know, a good guess for the year between Israel, Egypt and Philippines for the region? Thanks.
Maher Al-Haffar - CEMEX SAB de CV: Yeah. So in the first quarter, the Philippines was roughly – in terms of EBITDA, the Philippines was roughly half and Israel, as we said, about 30%, and so Egypt is roughly around 17%, 18%, and then the other business were about 6%. Does that answer your question?
Cecilia Jimenez - Casa de Bolsa Santander SA de CV: Yes, thanks.
Maher Al-Haffar - CEMEX SAB de CV: Great. Thank you very much, Cecilia. Operator?
Operator: Thank you. Our next question on line comes from Marcos Assumpção from Itaú BBA. Please go ahead.
Marcos Assumpção - Itaú BBA: Hi, good morning, everyone. My first question is on Mexico. If you could comment a bit about capacity utilization in the country right now, it seems to be very, very tight. But also to comment about the ramp-up of (53:11) from last year, and also, how do you expect the capacity utilization to evolve with the potential ramp-up of (53:18) as well? Second question regarding Colombia, if you are starting to see already, the first signs of bottoming in terms of volumes and the initial demand for 4G projects already kicking in at least in terms of contracts and et cetera. And basically, the signs of bottoming volumes, if the competition also is starting to be less fierce than what we saw before. Thank you.
Fernando Angel González Olivieri - CEMEX SAB de CV: Well, Marcos, regarding your question in Mexico, we cannot comment on our competitors, but surely, capacity utilization in Mexico is high. The market, as you saw, continues – it continued growing during first quarter of this year. And because of that context, the pricing strategy has been successful. But I can hardly (54:27) go beyond these comments on competitive dynamics in the case of Mexico.
Maher Al-Haffar - CEMEX SAB de CV: Yeah. And, Marcos, on Colombia, I mean, first, just to remind everyone that our expectations for volumes for the year are flattish. They may be a little bit better than that, but at this point in time, I mean, our expectations are flat volumes. And in terms of the major driver of growth, we do expect infrastructure for the year to be delivering probably the biggest contribution. I mean, we have certainly higher spending by governors and mayors. We expect the 4G projects, eight projects already with disbursements. We do see quite a bit of spending. I believe there's about $1.5 billion program on schools, for the construction of schools, and tertiary roads that is being activated. So we do expect to see an important pickup on the infrastructure side. Now, of course, we cannot underplay the importance of the tax reforms and the impact that they've had on first quarter aggregate demand. I mean, – and we've seen a lot of pressure initially because it had a very – an important impact on disposable income. And that has impacted investment in industrial and commercial, and it's impacted, particularly on the residential side, the high end part of the market. Now, on the residential side, we do expect things to continue, but they're on the weaker side. It is very important to note that the government is continuing to focus on low income housing, there is about 100,000 (56:21) subsidies that are going to be available for this year. And it's important to note that the investment budget of the housing ministry for the year is growing by about 18%. Now, first quarter tax reform kind of put a little bit of a shock into the system, but we do expect that to reverse itself and normalize during the course of the year. And, of course, 2017 is, for us, I mean is expected to be a transition year, and we definitely see things getting a lot better for us and for the country in 2018 and 2020. Does that answer your question, Marcos?
Marcos Assumpção - Itaú BBA: Yes, Maher. Thank you very much.
Maher Al-Haffar - CEMEX SAB de CV: Was there another question or that was it, right?
Marcos Assumpção - Itaú BBA: I also mentioned about prices in Colombia, if you're starting to see less competition already.
Maher Al-Haffar - CEMEX SAB de CV: I mean, we've definitely seen some of the players in – from what we understand, not operating at economic levels. And so, that's probably not sustainable. And so, we'll have to wait and see. I mean, I think it's very difficult to comment on that at this point in time. Okay?
Marcos Assumpção - Itaú BBA: All right. Thank you very much.
Maher Al-Haffar - CEMEX SAB de CV: But, Marcos, one thing that I would like to mention is that obviously, the rate of price erosion did definitely slow down, right, so.
Marcos Assumpção - Itaú BBA: Okay. Thank you.
Maher Al-Haffar - CEMEX SAB de CV: Great. Thank you, Marcos. Operator?
Operator: Thank you. Our next question on line comes from Eve Blomhed (58:13) from Exane BNP Paribas. Please go ahead.
Unknown Speaker: Hello, everyone, a few questions. The first one is on the U.S. Given your comments on good underlying trends and strong pricing announcements in Texas and California, and the stronger production leverage, should we expect similar type of margin progression throughout the year? Could you give us a bit more color on your outlook in terms of margin progression in the U.S.? And then the second question is on Egypt. On your full-year volume outlook, you reduced your volume guidance. Should we expect difficult pricing conditions to persist? And do you expect to cover cost inflation in the region for the full year? Thank you.
Fernando Angel González Olivieri - CEMEX SAB de CV: If I take the one from Egypt, we think that the current conditions, market conditions in Egypt, might prevail for the rest of the year. They might improve slightly because of some infrastructure projects. And the Egyptian pound exchange rate is to be seen, but most probably, it will continue about the levels they were in the first quarter. So, no special or particular changes in our outlook in Egypt for the rest of the year.
Maher Al-Haffar - CEMEX SAB de CV: And, Eve (59:53), if I can address the question about margin, I mean, number one, I think it's very important to note that the operating leverage, I mean, we've been fairly consistent by saying that the operating leverage that we're seeing is not sustainable, but certainly, we do expect continued important operating leverage. It's not likely to be at the levels that we've seen in the first quarter, but we definitely continue to see – I mean, like I said, prices are expected to continue to be doing well. We'll have to see if – in terms of maintenance for the rest of the year in the U.S. So, it's very difficult to guide whether margins are going to be better or worse. Of course, there are some seasonality effects that are taking place in the first quarter as well. But no major – we're not expecting any major changes, frankly, on the profitability side.
Unknown Speaker: Okay. And if I could add one more question on Poland. You mentioned an increase of 2% year-on-year in cement prices, but you also mentioned that you announced (1:01:11) price increase in April. Are you able to comment on the degree of this price increase? Will it be something similar to what you announced in Q1? Thank you.
Maher Al-Haffar - CEMEX SAB de CV: Yeah. I mean, I don't think we can comment on what's going to happen, but if you take a look at what's happening on the volume side, we're quite constructive on the Polish market. And so that would lead one to speculate that perhaps pricing dynamics should be better as we get into kind of the better seasonal part of the year, from that perspective. So we'll have to wait and see, but it's very difficult, frankly, to speculate about the – to give you an indication about the pricing yet.
Unknown Speaker: Okay. Thank you very much.
Maher Al-Haffar - CEMEX SAB de CV: Thank you very much, Eve (1:02:03). Operator?
Operator: Thank you. Our next question comes from Márcio Prado from Goldman Sachs. Please go ahead.
Márcio Prado - Goldman Sachs do Brasil CTVM SA: Yeah. Good morning, everyone. Thanks for the call.
Fernando Angel González Olivieri - CEMEX SAB de CV: Good morning.
Márcio Prado - Goldman Sachs do Brasil CTVM SA: I have three quick follow-ups on previous questions. The first one would be in Europe, with regards to the maintenance cost that was mentioned, that impacted the first Q. $60 million was the number that I heard and, in fact, $40 million was for a plant that, the last time, CEMEX incurred a maintenance cost 18 months ago. So just wanted to understand, if I wanted to normalize Europe's EBITDA, could I add $40 million to the first quarter number, and will it make sense to have like margins on a normalized basis to have been higher than what you have published in first Q 2016? This is a first follow-up. Second one just on Asia. Just on the Philippines, just if you could provide a bit more color on the 24 downtime days in the Philippines, and whether this is a major driver behind the weaker – the still weak results in Asia, and how it's turning in second Q? That'll be it. Thank you.
Fernando Angel González Olivieri - CEMEX SAB de CV: Regarding maintenance in Europe, to some extent, maintenance could be normalized during the rest of the year, with exception of what I already commented on our Rugby maintenance which, in 2016, there was no maintenance cost for that plant, because it drawn 18 months between major repair in 2015, and now major repair during the first quarter of 2016. It might normalize, because we might have additional reductions in maintenance in other plants. But right now, it's too soon to say.
Maher Al-Haffar - CEMEX SAB de CV: And, Márcio, if I can just add to that, I mean, just remember that the first quarter is probably the most volatile and most seasonal in our European market. And I would say in general, again, we're not seeing major changes in profitability for the full year when you go through it. And if you take a look at – I mean, I think it's – if you take a look at last year quarter-by-quarter, what happened in Europe, you'll see a kind of a dynamic that may very well unfold this year in terms of seasonality, right, which gets us to no big changes – again, barring – I don't want to – we don't want to give guidance on margin, but given the indications that we've given on volumes, and assuming prices go – we're not expecting major changes in profitability in the European region. Now, you had a question on the Phils, and I mean, I think we had like two major typhoons there. Highly, highly unusual, I mean, to have 24 days where we literally – I mean, we could not even open the hatches on many of our facilities. And, as you know, a lot of the transportation – preponderance of the transportation takes place on the water. And so, having 24 days was quite exceptional. What's going to happen? Who knows, but we're clearly out of typhoon season for the time being. And if – March was terrific weather. We had, I think, one of the best months in a very, very long time in terms of volumes during the month. So, I would not extrapolate what happened in the first quarter for certainly the whole year. Now, of course, we did adjust our full-year guidance for the country as a consequence of that.
Márcio Prado - Goldman Sachs do Brasil CTVM SA: Thank you. Thank you, Maher. Thank you, Fernando. Just a last one, pretty quick. You've mentioned the amount of sales, asset sales in dollar terms that are pending. Can you just confirm that? Thank you.
Maher Al-Haffar - CEMEX SAB de CV: You mean – yeah, I mean, I think what we have is asset sales that have been announced but have not been closed is $230 million.
Márcio Prado - Goldman Sachs do Brasil CTVM SA: Okay. Thank you, Maher.
Maher Al-Haffar - CEMEX SAB de CV: Now, we do expect some fixed asset sales as well for the year, very little of which have taken place as well. So, that's in progress.
Fernando Angel González Olivieri - CEMEX SAB de CV: Most of the pumping business has been collected in April, so you can expect those figures to impact our second quarter figures. Pacific Northwest, maybe second, third quarter when we close the transaction.
Márcio Prado - Goldman Sachs do Brasil CTVM SA: Thank you. Thank you, Fernando. Thank you, Maher.
Fernando Angel González Olivieri - CEMEX SAB de CV: Thank you.
Maher Al-Haffar - CEMEX SAB de CV: Márcio, any other – I think we answered all your questions. Thank you very much.
Márcio Prado - Goldman Sachs do Brasil CTVM SA: Thank you.
Maher Al-Haffar - CEMEX SAB de CV: Operator?
Operator: Thank you. Our next question on line comes from Eduardo Altamirano from HSBC. Please go ahead.
Eduardo Altamirano - HSBC Securities USA, Inc.: Hi, gentlemen, thanks for taking my call. Actually, one of them is a follow-up to Vanessa and Márcio's. It's related to plant maintenance in Europe. Given the lower operational rate that you have in that region, and it seemed that this (1:08:06) for the UK was about 18 months, should we expect this going forward for all – let's say, for the entire region, and which would, in effect, lower operating costs in aggregate? And the second question is in terms of your divestitures and just cash flow – I'm sorry, the debt reduction process. I mean, what is it that we can expect going forward in terms of divestments? I mean, you have essentially almost reached your targets. Colorado was for sale last year, if you add that in there, which there are several interested buyers out there, where could we expect this to actually go in terms of assets sales rather than just kind of meeting your target that you have in mind?
Fernando Angel González Olivieri - CEMEX SAB de CV: Well, for the time being, as you mentioned, we have almost complied with the targets that we have been sharing. But for the time being, let's say that we are on the high part of the range. So, let's say that we believe we might reduce debt closer to the $4 billion or perhaps slightly exceeding the figure of $4 billion. But as of now, we are not changing that guidance. It's something to be considered. We might have an upside risk in the sense of being able to reduce debt by a higher figure, but, again, there are still risks. We need a little bit more time to reconsider that figure.
Maher Al-Haffar - CEMEX SAB de CV: Yeah. And if I can just complement what Fernando said on that, I mean, just remember that the first quarter free cash flow, because of working capital, was negative. And so, the free cash flow generation is expected to be – that recovery is expected to be reflected in our free cash flow generation and accelerating the debt reduction during the next three quarters, again, bolstering what Fernando just mentioned. And then on European margins, as far as maintenance is concerned, I mean, we're making efforts to increase the cycle of maintenance, but...
Fernando Angel González Olivieri - CEMEX SAB de CV: No, but I think we cannot expect, let's say, the maintenance impact in the UK in the rest of the European businesses.
Maher Al-Haffar - CEMEX SAB de CV: Yeah.
Fernando Angel González Olivieri - CEMEX SAB de CV: So we cannot extrapolate that to other cement plants.
Eduardo Altamirano - HSBC Securities USA, Inc.: So just to be clear, so we should expect that basically, just normal maintenance times rather than the 18-month period should be the norm?
Fernando Angel González Olivieri - CEMEX SAB de CV: Exactly, yeah.
Eduardo Altamirano - HSBC Securities USA, Inc.: Thank you.
Fernando Angel González Olivieri - CEMEX SAB de CV: Thank you.
Maher Al-Haffar - CEMEX SAB de CV: Thank you, Eduardo. Operator?
Operator: We have time for one more question and that question comes from Anne Milne from Bank of America Merrill Lynch. Please go ahead.
Anne Milne - Bank of America Merill Lynch: Good morning. Thank you for the call today.
Fernando Angel González Olivieri - CEMEX SAB de CV: Good morning.
Anne Milne - Bank of America Merill Lynch: I see you made it almost through the end of the call without many questions on debt. I wanted to ask you – most of the questions I had were answered except for one. There was an article that came out last night that talked about CEMEX renegotiating its bank debt and having concluded some negotiations, pushing out maturities until 2020 with investment grade type structure. I was just wondering if you could comment on that, please.
Fernando Angel González Olivieri - CEMEX SAB de CV: Yes. Well, as we commented during our CEMEX Day, seems like in the next few months, according to our debt profile, we should be taking care of direct financing or negotiating our bank debt that, as you may know, it's – the first payments are due in September 2018. So, we continue with the proactive approach on taking time and talking with our relations in banks in order to refinance. So you can expect that during second, perhaps third quarter, we might have news on how to deal with our bank debt. Again, we are not in a hurry, we do have the time, but clearly, according to our debt profile, that's what we should be doing.
Anne Milne - Bank of America Merill Lynch: Okay. Excellent. Thank you very much for the call.
Fernando Angel González Olivieri - CEMEX SAB de CV: Thank you.
Maher Al-Haffar - CEMEX SAB de CV: Thank you very much, Anne.
Fernando Angel González Olivieri - CEMEX SAB de CV: Operator?
Operator: We have no further questions at this time.
Fernando Angel González Olivieri - CEMEX SAB de CV: Okay. Well, thank you, all, and please feel free to contact us directly or visit our website at anytime. Thank you and good bye.